Operator: Good morning. My name is Krista and I'll be your conference operator today. At this time, I would like to welcome everyone to the Standard Lithium Fiscal Second Quarter Earnings Conference Call and Webcast. [Operator Instructions] Thank you. I will now turn the conference over to Salah Gamoudi, Chief Financial Officer. You begin your conference.
Salah Gamoudi: Thank you and welcome everyone. Joining me on the call today are Robert Mintak, Director and CEO, Andy Robinson, President, Director and COO, and Mike Barman, Chief Development Officer. As a reminder, some of the statements made during our call, including any forward expectations, company performance, and timing of projects, may constitute forward-looking statements. Please note the cautionary language about forward-looking statements contained in our press release, which also applies to this call. I will now turn the call over to Robert.
Robert Mintak: Thanks a lot for kicking things off. This past quarter has been transformative for us at Standard Lithium, starting with strengthening our leadership team, to better navigate our strategic and financial journey in the current market conditions. I'm delighted to introduce both our new CFO, Salah Gamoudi, and Mike Barman, our new Chief Development Officer. Salah brings an extensive track record in the public market, the energy sector, having enhanced company value, and delivering shareholder returns. Additionally, Salah is based in Austin, Texas, adding regional insight. This coupled with his expertise in driving operational efficiencies, positions us well to enhance shareholder value in the current complex market conditions that we're navigating. Mike Barman has stepped into the Chief Development Officer role, bringing with him a wealth of experience in investment banking, and a strong understanding of resource, and commodity cycle. This expertise is valuable, as we work to finalize key commercial contracts and agreements. With Mike's insights, we're making thoughtful progress in our discussions regarding long-term lithium offtake agreements that are pivotal, to our project strategy. Furthermore, his experience is instrumental as we advance our efforts in forming the partnerships and more that will build upon the solid foundation that we've established across the Smackover region. While we continue to make progress in Arkansas, our East Texas expansion work has achieved a significant milestone. We've uncovered the highest lithium brine values ever reported in North America, underscoring the potential value of this expansion strategy. The exceptional quality of the lithium brine confirmed at concentrations of up to 806 milligrams per liter, with an average of 644 milligrams per liter across our three exploration wells, emphasizes the global importance of this opportunity. With a significant investment in our exploration drilling program now completed, we're poised to unlock the full potential of this Texas brine asset. This has attracted the attention of potential strategic partners and joint development interests. The presence of elevated potassium levels, presents an additional opportunity for value creation that we're diligently exploring. Additionally, recent developments highlight the interest from global energy companies looking at lithium that are now active in the Smackover formation. This further reinforces the potential as a significant global lithium production hub. Building on our strategic plans, we exercise our option agreement with TETRA Technologies, ensuring control over the lithium brine production rights at our South West Arkansas project. We're advancing this project right now. Underway is the front-end engineering design, along with the definitive feasibility study. Post-quarter, we announced that we engaged Ausenco Engineering to lead these studies. We've completed and filed the definitive feasibility study for the Phase 1A project. And during the quarter, Lanxess also expressed its intention to participate in the project, through a series of commercial agreements, namely for brine supply and disposal, a site lease for a production facility, and certain infrastructure services. These negotiations are underway, and these agreements will form and establish the operational framework for Phase 1A. Additionally, we announced an engagement with Citi, a move that significantly strengthens our strategic approach. Citi will play an important role in facilitating strategic financing, and partnership options for 1A, as well as advancing the South West Arkansas project and the initiatives in East Texas. Citi's expertise and their global reach make them a valuable addition to our efforts. As we move into 2024, it's clear that we're navigating through a turbulent time in the lithium sector. In 2023, we saw lithium prices retract significantly from their all-time highs, an 80% reduction that has reverberated across the market. Our share price has been reflective of these broader sector trends. Despite this, the long-term prospects for lithium and for standard lithium remain strong. Furthermore, recent developments such as the Inflation Reduction Act and the U.S. Treasury Department's recognition of critical minerals, underscores the significance of developing domestic sources for EV battery material. Our Smackover projects align perfectly with these objectives, and we're actively engaged with government agencies and departments to optimize our position and access financial support where available. In summary, our approach involves efficient capital sourcing, adaptability to market dynamics, and leveraging our valuable assets to maximize shareholder value. Our commitment to the disciplined execution of our strategy, positions the company in a strong place, in this evolving lithium sector. Now I'd like to hand it over to our COO and President, Dr. Andy Robinson, for a more detailed update on our projects and operational development.
Andy Robinson: Thanks, Robert. Before I jump into the details of our projects, I'd like to take a step back and really emphasize the quality of the resources that we're unlocking. Our ambition, is to build a very large lithium-producing company for the North American market. In order to achieve this, we need three conditions to be true. Firstly, we need a very large, high-quality resource. Secondly, we need a proven and demonstrated technology that economically extracts lithium from the brine resource and converts it into a product that people want to buy. And thirdly, we need to be operating in a region where we have community and stakeholder approval. In the last quarter, we produced two key technical reports, the DFS for our 1A project and the PFS for the South West Arkansas project. These reports spelled out the high-quality nature of the resources that are available to us. At Lanxess, we were able to show a long-term project that piggybacks off of a brine resource that's been in production, for bromine for almost as long as I've been alive. That provides us with a tremendous amount of data, and the confidence that we can pump brine from the Smackover, extract a chemical compound from it, and re-inject it back into the same formation, and that we can do that for several decades. Drilling results from the South West Arkansas project that we highlighted in the PFS, are significantly better than we had previously assumed, both the quality of the rock in terms of its ability to hold and produce lithium brine and the concentrations of lithium in that brine. So we ended up with a resource of much higher quality that can produce more lithium on an annual basis, and can therefore drive more value growth. At the same time as the public technical reports, we've been investing significant time and resources into East Texas, where a large team over the last three years has identified some incredible-looking resource areas and has been aggressively leasing and then drilling those resource zones. The quality of the lithium resources that we're adding into our portfolio in East Texas, is second to none, and the scale of what we're building supports our vision of growing a nationally important lithium business. In terms of de-risking technology, we continue to operate and improve our large demonstration plant in El Dorado in Southern Arkansas. I can't overstate the importance of this demo plant. It's only, because we have continuously processed over 16 million gallons of real Smackover brine in real time on a 24-7 basis for over three and a half years that, we are now in a position to commercialize the technology. You only find out what flow sheet actually works when you run a plan for long periods, on a continuous basis, with real live brine straight from the formation, and then you re-injected it back into the formation afterwards. This improvement work is being completed in partnership with [Koch], and we continue to have an excellent working relationship that's focused on bringing large-scale commercial DLE to the Smackover formation. Lastly, we continue to be incredibly grateful for the communities, stakeholders, and regulators in Southern Arkansas and East Texas. We don't take community support lightly, and we were delighted to hold an open town hall meeting in early December in Louisville for our South West Arkansas project. The feedback we got was hugely supportive and positive. It also reminded us of our duty to keep the local communities informed and engaged, as any development in the region will have an impact. And even if it's positive, it will continue to have an impact for many decades, so it's important to start off right and maintain that level of trust. We hope to continue that dialogue in the region and beyond, as we continue to move our projects towards commercial production. As we move through this quarter and into the rest of the year, we have an ongoing process to put sufficient project finance in place to de-risk our first commercial project. The technical reports issued last quarter generated a lot of off-take and strategic interest, and we'll continue to advance those discussions, so that we have the right partnerships in place at the right time to move our projects closer to production. We've announced the next phase of project work on the South West Arkansas project, and we will be completing additional resource and production modeling work to test the limits of what is possible for future production from this first-class resource. The Ausenco team will be working, with all our partners to refine the flow sheet for the South West Arkansas project, and we look forward to future announcements as the integrated team moves the project, through FEED, towards a final bankable feasibility study. In East Texas, we'll continue to strategically expand our land position with the very highest quality rocks, and the very highest grade lithium brine. We should be in a position later in the year to demonstrate in technical reports, the scale and quality of this globally significant lithium, potash, and bromine asset. It's probably worth spelling out that one of the greatest learnings from having completed the PFS and DFS recently, is that when it comes to DLE and lithium brine projects, grade is all-important, when it comes to the project economics. As you increase lithium grade, your economics get better, and you move further left on the cost curve. It's this understanding that has supported our efforts in East Texas, to secure the best lithium brine assets in the Northern Hemisphere. And so, just to reiterate, over the last quarter and into the balance of calendar '24, we continue to de-risk and grow the scale and quality of our lithium brine assets. We continue to improve the technology needed, to unlock the value of these globally significant resources. And we're working in a part of the world that, views what we're proposing to build in a positive light and wants to be a part of it. And as we move along that path to commercialization, we're looking to bring in the right partners at the right time to build these projects. Now, the question turns to funding and moving these projects forward. And with that, I'll turn the call over to Salah, who will speak to our quarterly results and the path forward.
Salah Gamoudi: Thank you, Andy. For our fiscal second quarter for the three and six months ended December 31, 2023, we reported a net loss of $10.2 million, or $0.06 per share, and $19.9 million, or $0.12 per share, respectively. Expenses that drove these net losses primarily relate, to operating expenses at our demonstration plant, and costs in support of necessary personnel to continue to advance our projects. As Andy alluded to earlier, your dollars as investors are being well spent, as our continued work at our demonstration plant and related engineering continues, to advance our flow sheet and refine our operational capabilities, to better ensure a smooth ride, as we scale towards commercial production at 1A and SWA. Moving on to our balance sheet, we would like to highlight, our continued balance sheet strength. With positive working capital, no debt, and a strong and substantial asset base, Standard Lithium is poised for growth, despite us being in a challenging lithium price environment. Our lack of financial leverage in addition to our projects, in particular SWA being at the front of the cost curve, gives us meaningful flexibility, to pursue the most advantageous strategic partnerships, offtake agreements, and financing options, for our shareholders. During the quarter, we had negative free cash flow of approximately $23.6 million, mostly owed to the completion of our East Texas drilling program, continued East Texas leasing efforts, and the completion of our definitive feasibility study on Phase 1A. We expect that with the conclusion of our initial drilling program in East Texas, that capital spend should slow in the upcoming quarters, barring the finalization of advantageous strategic partnerships or offtake agreements, which may allow us to advance our projects sooner. As we previously announced, we are currently advancing strategic financing processes, to support the capital requirements of our projects with both Citi and BNP Paribas. Our priority in these capital raising efforts, is value enhancement to our shareholders. We aim to do this by minimizing our cost of capital through pursuing an order of priority. One, non-dilutive financing through potential offtake prepayments, with our customers. Two, strategic partnerships and joint ventures. Three, minimal cost debt, inclusive of potential DOE or EXIM bank funding. And four, opportunistic equity raises with the right partners. In addition, during the quarter, we established an at-the-market offering program that we view as an important tool, but not a primary means, of providing the liquidity we require, to advance our projects in the most value-creative way possible for shareholders, while minimizing dilution and cost of capital. Further to the above, while not a required means of financing to stand up our projects, we are pursuing several federal grant packages, for our projects with both the DOE and DOD. If successful, such grants could significantly improve returns to our shareholders. With that, I'll turn the call over to Robert for closing remarks.
Robert Mintak: Thank you, Salah. Standard Lithium is advancing towards becoming a significant lithium producer in the United States. We are working to build a portfolio of Tier 1 projects, with potential for substantial production capacity, focusing on a deliberate and strategic approach to growth. Collaborating with strong partners is central to our strategy, enabling us, to leverage collective expertise and resources. While this is an ambitious objective, we are fully committed to a methodical and responsible approach to reaching it. Thank you for joining us today on this journey, to lead a new era, of responsible lithium production in America. Operator, back over to you.
Operator: [Operator Instructions] Your first question comes from the line of Joseph Reagor from ROTH MKM. Please go ahead.
Joseph Reagor: Hi Rob, Andy, and team. Thanks for taking my questions. I guess the first thing, as you guys think about advancing Phase 1A, what besides financing is still left to be done, before you could officially, break ground on construction?
Robert Mintak: Hi, thanks, Joe. It's Robert Mintak here. I appreciate the call. With regards to advancing Phase 1A towards a final investment decision. In late 2023, through the commercial agreements that we had previously established with Lanxess, they informed us of their intention to participate in the project through a series of commercial agreements. So rather than an equity interest in the project company, or in the offtake, or the marketing of lithium carbonate sales. So, we're working through a series of agreements with Lanxess now. Primarily, brine supply disposal agreement, the commercial site location, and the certain infrastructure tie-ins. So those discussions and negotiations are underway and we're making good progress. Additionally, in December, we held our hearing with the Arkansas Oil and Gas Commission on setting in place a royalty regime that's required for the commercial operation. We presented a proposal that, we will be continuing the dialogue with the AOGC at a meeting in April, for further clarification. We're very confident that our proposal will be well received. But those are the other workflows that are underway towards the final investment decision. So now with the certainty on the equity component, working with Citi, and also the strategic interest, to see where there may be participation there. And then also on the marketing of the offtake, now that we own the rights to all of the lithium carbonate that, will be produced at 1A. So those are the workflows that are required to be completed as we look towards our final investment decision. I'll pass it back to the operator now.
Operator: [Operator Instructions] Your next question comes from the line of Noel Parks from Tuohy Brothers. Please go ahead.
Noel Parks: Hi, good morning.
Robert Mintak: Hi Noel, good to hear from you.
Noel Parks: Thanks. Thanks. You know, a sort of a related question, but as you're looking over the range of potential partners, whether it's strategic, or financial, I just wondered, can you give us feel for what the most important points of negotiation are right along now? Sort of what you need to get together on as far as reaching agreement. I'm wondering just things that are more pricing related, lithium pricing related, or issues of, sort of like a dealer structure flexibility in terms of, fixed terms or rates or options for future ownership. Just kind of, what are the things that you're going back and forth with parties on?
Robert Mintak: Thanks, Noel. We're fortunate and that we have very attractive projects, both on the cost curve, on the path towards going into production with a clear permitting regime, infrastructure, and stakeholder support. So interest from strategics, looking at the project is extremely high based on the fundamentals. We're also very fortunate with our business plan to-date, which has been working to develop the project in alignment with complementary and strong partners. So the relationship with Lanxess has enabled us, to leverage their operations, infrastructure, and permits to advance our DLE process. The agreement that we put in place way back in 2017 now with TETRA allowed us to secure a high-grade, very prospective resource to develop for the lithium opportunity in Arkansas. And then the work that we did to bring Koch as an investor. And then additionally to bring in their business expertise across several different sectors that we're using to advance the projects. They're all separate expertise that each of those partners have brought. And we're looking at that similarly when we talk to additional strategic opportunities that we're looking at. So the opportunity and the dialogues that we're having are based on what each partner brings. So, we've been very clear that we felt that these resources that, we're developing would benefit from the energy sector. We're working in an area with 100 years of expertise in drilling wells, and understanding reservoirs, pipelines. So that would be a natural complementary partner. The recent activity and names that have entered into the sector, and interest that we're seeing in the sector, has confirmed that. So that would obviously be a strong partner. And then what they bring along with the checkbook, those expertise, those guide our negotiations with those partnerships. We're also looking at long-term off-take agreements with strong partners that would align and allow us to advance the projects in non-dilutive ways. So those discussions are underway as well. As well, there's a significant amount of interest as investment in the project. So having alignment with sources of capital that are looking at our long-term platform of projects that we're building. So the discussions are around value in the ground, what partnerships can bring to us, recognizing the work that we've put into the ground to de-risk these projects. The only advanced direct lithium extraction project in North America with a process that we've shown works. So the dialogues are really around what partners bring, where we can show the value that we've created. Lithium pricing obviously impacts all of those, but with the right partners, we're looking at the long-term plans for these projects. I'll pass it over also to Mike Barman, who most of the people on this call haven't had a chance to dialogue, because Mike, as our Chief Development Officer, is key in these negotiations. Mike, if you want to step up here.
Mike Barman: Sure. Thank you, Robert. So yes, I mean, I would just echo a lot of what Robert said. So in the partner search, financial technical capability brought to bear as well as discussions around how we can utilize those, to best de-risk and execute the project. I think is really what we are in discussions with and what the frameworks are that we're trying to develop here.
Noel Parks: Great. Thanks a lot. And I just wanted to sort of follow-up with what I had. Maybe sort of premature, but as you look out into your larger projects, is there any interest by partners maybe in investing specifically, or just in sort of the processing business? It's, of course not as disparate as it is in mining where you have a parallel scandal in operation, which is going to be more integrated. But I just wonder if people are even thinking about that granular level of the value chain?
Mike Barman: Robert, I'm happy to jump in.
Robert Mintak: Oh, sure. Go ahead, Mike.
Mike Barman: But I think really at this point, the discussions are at the project level. We're not looking at segmenting out portions of the business quite yet, although there are discussions are pretty fluid. And so, I wouldn't completely rule it out as long as it was in the best interest of the project and value.
Noel Parks: Great. Thanks a lot.
Robert Mintak: Yes, I'll also add to that that the key to unlocking the resource is direct lithium extraction. We're the only ones who've been active in this space for the last seven years and the only ones with an operating demonstration scale plant that extracts lithium basically on a 24-7 basis. So that aspect is extremely important on the dialogues, and the conversations we're having and that it's one thing to hold the land position, but it's another to have a position and a process that you will have high confidence - that can get the lithium out, because there's only one process, DLE, to unlock the resource. And we are the most advanced at that.
Noel Parks: Great. Thanks for the clarification.
Operator: Your next question comes from the line of Joseph Reagor from ROTH MKM. Please go ahead.
Joseph Reagor: Hi, Robert. Just kind of a follow-up thing. As you think about pricing, some of the other lithium companies out there, have either announced a delay in an expansion, or cancelling an additional project, et cetera, because of pricing. Is there a long-term price you guys need to get in an offtake agreement as a floor, or a prevailing market price that you'd like to see before you guys would go forward, assuming you complete all the tasks necessary and then fund the project? Is there something you would there is a price point at which you would continue to wait for economic reasons?
Robert Mintak: Hey, Joe. Thanks for the question. Well lithium pricing, volatility in the lithium pricing will come down significantly from where we were a year ago, which is, in retrospect, we're significantly higher than where we were in 2017, when - we started Standard Lithium. At this current attention, particularly on China's spot pricing, has impacted the entire industry, producers and developers alike. But spot pricing alone doesn't tell the whole story. It's - indicative of long-term outlooks, or reflective of what we see as stable pricing and long-term contracts. Our projects are positioned, to be extremely economic under long-term pricing assumptions that, we believe in. Additionally, being located in the United States, offers another distinct advantage, because we're in a region that not only benefits from a high-grade resource. But also from new policies that are coming in - and bipartisan policies, I'll highlight as well, aimed at encouraging domestic lithium production. So, that significantly enhances our strategic position and makes the projects particularly appealing to off-date partners. And I just want to also highlight that even in these challenging market conditions, the results from our preliminary feasibility study on South West Arkansas position it in the first quartile on the cost curve. And it's still an attractive project, if we had to live under current Chinese spot prices. I don't want to set an expectation price, but the long-term fundamentals and the projections on pricing, and where we will be when we're in production, will be at a much higher number than we are today.
Joseph Reagor: Okay, fair enough. Thank you.
Operator: Your next question comes from the line of John Reynolds, who is an Individual Investor. Please go ahead.
Unidentified Analyst: Hi, Robert. This is John. How are you doing? I wanted to know when we can expect to hear from the DOD and DOE on grant money requests. If you can answer that for me?
Robert Mintak: Yes, I can't give you a hard date, John, on those. We've got a number of programs that we're tracking and that we're active in. With the Defense Department, we have filed an initial application for Title III Defense Production Act funding. And we're working through that process. Our feedback that we've been getting from advisors and individuals, who understand the process is, that there's a significant amount of paperwork And that if we haven't heard, or been declined yet, that we're still in a good position moving forward. The Department of Energy on the DOE grant side, we're active in a number of programs there. Actually, I'll pass it over to Mike in a moment, because he's working with our team on one of those key ones. So, we're actively informing the DOE and completing the necessary technical submissions. For recently announced funding opportunities that align extremely well with our project. We have to get through a number of boxes, if you like, that we need to tick on the formal submission. The upcoming announcements on those, I believe, will be in late summer for the larger grants. Mike, I'll just pass it over to you once more if you just wanted to add additional color to that.
Mike Barman: Yes, thank you, Robert. So as Robert said, there's a number of programs that we're active in. Some are quite well aligned with our projects. So, we are hopeful. But as you know, with these programs, there's uncertainty. And so, we don't want to make representations that we will be getting anything, but we are certainly active in those. And the quantum of those can be quite meaningful in the context of project funding.
Robert Mintak: I think I'd reiterate.
Mike Barman: Yes, I would reiterate Robert's timeline. We'll know more towards the end of the summer. And so expect communication from us around that time. 
Robert Mintak: Yes, thanks, Mike. Yes, we're very fortunate in that the projects, the lithium brine projects, with a high sustainable profile using DLE, and then operating in a region with significant stakeholder support. If we're successful, we'll be adding that additional benefit of transitioning jobs that are coming out of the oil and gas sector, because of the resource that's been in production for a hundred years and it's in its retiring date. But those jobs can then transition into the lithium sector, and part of the energy economy. So, we tick a number of the very attractive boxes, a region, and a benefit from the transition for jobs going from the oil and gas sector, into the new energy economy, significant stakeholder support, a very small environmental footprint, the most advanced DLE process of any project in North America, hands down. And additionally supplying domestic lithium as required by the Inflation Reduction Act. So, we believe we're an extremely attractive project, and we're doing everything we can to return the tax dollars back, to the communities that we're operating in.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Katie Lachapelle from Canaccord Genuity. Please go ahead.
Katie Lachapelle: Hi, Robert and team. It's great to hear that you guys are clearly seeing strong interest on both the strategic partnership side as well as the financing side. I'm just wondering if you can provide sort of any guidance about how you're now thinking about revised timelines to first production at Phase 1A and perhaps on the South West Arkansas project as well, just in light of the fact that there's obviously a lot of moving parts right now?
Robert Mintak: Yes, we're, thanks, Katie. We're advancing the project so, as I highlighted earlier in the call, now that we have received at the end of 2023 notification from Lanxess on their participation at 1A through commercial agreements. We're advancing those discussions. We're working with the AOGC, the Arkansas Oil and Gas Commission on royalties. And then now that we had certainty on the offtake we were in a process to align with a significant partnership on the offtake as well. So, we're advancing those and a completion of those will guide us on the FID. On South West Arkansas, the interest on that project is extremely high, because it is a much higher throughput capacity. So it's a strategic interest and offtake interest that project is garnering significant and more attention. And we're in advanced discussions on that project for both that strategic level and the offtake side. Post Q2 announcement of bringing a sink along for the FEED and definitive feasibility study, I believe we're still tracking for 2027 as a fully achievable production on that. We're having to navigate specifically and technically choppy waters on the lithium sector, but that's across all regions. I think the strength of the project allows us more confidence in meeting the timelines. Because the interest when you're looking to pick a horse, pick one that isn't going to fall, before the end of the race, because of permitting, because of stakeholder support not being there. So, we have those benefits, and that's why a lot of our emphasis, specifically on the strategic side, is to bring in a partner that will allow us, to maintain the trajectory to be the first to production in the United States.
Katie Lachapelle: Awesome. Thanks. I appreciate the additional commentary.
Operator: Your next question comes from the line of Peter Epstein from Epstein Research. Please go ahead.
Peter Epstein: Hi. Thanks for taking my call. Can you describe the upcoming event this week in Little Rock and the importance for Standard Lithium?
Robert Mintak: Hi, Peter. Hi, thanks for the call. It's nice to connect with you. For anyone that is listening in that's not aware, this week, February 15th and 16th, the Arkansas Lithium Innovation Summit, the first iteration of that, is kicking off. And it is an extremely exciting event. About a year ago, we came up with an idea to hold a lithium event in Arkansas that Standard Lithium would host, bring in key stakeholders, state agencies, representatives across the industry, academia. And it was going to be a Standard Lithium stand-alone event. It took on a life of its own since that idea. And now we see the world's largest lithium producer, Albemarle, will be joining us. For those who aren't aware, they have operations in South Arkansas for bromine. Exxon Mobil will be participating, TETRA Technologies, and about a dozen other service providers, technology companies, drilling companies will be there. Governor Sarah Huckabee Saunders will be presenting a keynote. Senator John Boozman will be speaking, along with a number of other industry commentators. I believe we'll have Wall Street Journal, Bloomberg, S&P, Benchmark, Fastmarkets are all attending. So this is going to be one of the highlights of the first half of this year in the lithium sector. We've got a full week of meetings with state agencies, utilities, universities, on how we can all work to build a globally important lithium industry in Arkansas. It should be an extremely well-received industry event in a challenging market, because what's unique about the projects we're building and the region we're building in there's excitement around this still. People want to see these projects built. And the names that are going to be attending this, I think will resonate not just with investors, but the larger lithium industry. And that the work that we've been doing over the last seven years with Arkansas and Smackover the best lithium resource to build the North America is coming that fruits coming to bear now. So yes no, thanks for bringing it up, Peter. Yes, anyone that's in Arkansas or in Little Rock, I think the event is sold out. Initially, we were looking at a couple of hundred for attendance, but I think they've pushed it over 600 now. So sold out event, great names, and I think we'll get some good traction in the media, on why this is the best resource, to bring to market anywhere in the Northern Hemisphere.
Peter Epstein: Okay. Thank you. Can I ask another question?
Robert Mintak: Yes, no, please go ahead.
Peter Epstein: In East Texas, can you give us a better sense of the scale? Obviously, the grade is three times what the Lanxess grade is. Can you tell us how many acres, for example?
Robert Mintak: I'm going to bring Andy in on this question. He can go into more detail on the work that we've been doing in Texas. And then also our path to being able to inform the market on how globally significant this resource will be. So I'll pass it over to you, Andy.
Andy Robinson: Yes, thanks, Robert. Hi, Peter. Yes, in general, we've not released any information yet, Peter, regarding the scale of what we've got on the ground. We've announced some data from the three exploration holes that we drilled in the formation in 2023. The data from those showed certainly nationally and likely globally significant lithium brine resource. What we have been doing over the last three years now is figuring out where the very best areas of the resource are in terms of porosity, permeability, lithium grade, et cetera. And we've been leasing and securing those, the very highest quality areas in the East Texas, Smackover formation. So scale, not in the public domain yet, Peter, it is significant. Certainly, you know, many x of what we have in South West Arkansas. And so large scale, very high quality. We're doing the work at the moment to strategically expand and firm up our leasing position and our site control, and asset position in the area. And as we mentioned earlier on in the call, we're really hoping to have the first of the sort of resource reports out before the end of this calendar year. So that work is underway. And I think I think everyone will find that very interesting and again, potentially very globally significant resource that we have control over that.
Peter Epstein: You drilled three holes. How many more holes might it take to get to that main resource?
Andy Robinson: For the first resource report, Peter, that's all we need for now. So, we've done sufficient drilling to allow us to get to that first stage of resource definition. There will be additional wells drilled over the balance of this calendar year and into the next calendar year as well. In order to expand and continue the definition process, as we increase technical certainty of what we have in the ground and the economics of extracting and processing from it. So, there will be ongoing drilling that will take place when allowed and when permitted, et cetera. But we have sufficient drilling right now to move to that first resource study.
Peter Epstein: Last question. Can you possibly monetize the potash and the bromine in East Texas?
Andy Robinson: That's part of the work which is which is underway. So the - drilling work showed very high levels of potash in the brine. And similar levels of bromine that we know are extracted in Southern Arkansas. So with the scale of what we've been leasing, we know that there are substantial both bromine assets and potash assets in those resources that we have the rights to in East Texas. We will continue as we move through that project definition stage to look at the economics, of extracting those resources that we have the rights to. And that will be part of our initial economic assessment, to look at the value of those. And hopefully provide some clarity to the market as to what value can be extracted from those additional chemical components within our brine resource.
Peter Epstein: Thanks very much, guys.
Operator: We have no further questions in our queue at this time. And with that, that does conclude today's conference call. Thank you for your participation and you may now disconnect.